Operator: Good afternoon, ladies and gentlemen. And welcome to the Zynex First Quarter 2022 Earnings Conference Call. At this time all participants are in listen-only mode. A question-and-answer session will follow the formal presentation. As a reminder, this conference is being recorded. I would now like to turn the conference over to Louisa Smith from the Gilmartin Group. Please go ahead.
Louisa Smith: Thank you, Joe, and good afternoon, everyone. Earlier today, Zynex released financial results for the first quarter of 2022. A copy of the press release is available on the company's website. Joining me on today's call are Thomas Sandgaard, Chairman, President and Chief Executive Officer; Dan Moorhead, Chief Financial Officer; Anna Lucsok, Chief Operating Officer; and Donald Gregg, Vice President of Zynex Monitoring Solutions. Before we begin, I'd like to remind you that during this conference call, the company will make projections and forward-looking statements regarding future events. We encourage you to review the company's past and future filings with the SEC, including, without limitation, the company's 2021 Form 10-K and subsequent Form 10-Qs, which identify the specific factors that may cause actual results or events to differ materially from those described in these forward-looking statements. These factors may include, without limitation, statements regarding product development, product potential, the regulatory environment, sales and marketing strategies, capital resources or operating performance. With that, I will now turn the call over to Thomas.
Thomas Sandgaard: Thank you, Louisa. And good afternoon, everyone. Thank you for joining us today for the first quarter 2022 earnings call. We had another solid quarter of growth and profitability. Our total revenue was 31.1 million for the quarter, an increase of 29% year-over-year, all generated in our Pain Management Division. Our earnings for the quarter were $0.03 per share, up from $0.02 per share loss a year ago, and adjusted EBITDA was $3.1 million. Our order growth continues with a month of March recording the highest number of orders in the company's history. Several months ago, we announced a $10 million share buyback program to signal our confidence in the long-term success and growth of Zynex. We have always been committed to delivering shareholder value and we believe purchasing shares at these prices creates value for our long-term shareholders. The first quarter performance was a reflection of a company's capacity to execute operationally and strategically. And we remain on track for our 2022 annual revenue guidance of $150 million to $170 million. During the first quarter, the monitoring division completed the integration of Kestrel Labs and its laser-based pulse oximeter products. In first quarter, we are also added a significant amount of engineering and clinical research personnel to the division and are gearing up for manufacturing and sales of the CM-1600, our second generation blood and fluid monitor. We anticipate these things to take place in during the third quarter of the year pending FDA clearance obviously. As our audience may recall the first generation product CM-1500 is already cleared by the FDA. I will now turn the call over to Anna Lucsok, our Chief Operating Officer.
Anna Lucsok: Thank you. As Thomas mentioned, we received more orders during March than any other month in record. We've continued to see our sales force becoming more efficient and revenue per sales rep in Q1 grew by 50% compared to Q1 last year. Sales rep productivity remains in area of emphasis and we continue to be very selective in hiring new reps and also scrutinizing existing reps ensuring they are producing at a high level, not only in the quantity of orders, but the quality as well. We ended 2021 with about 400 reps, and at the end of March, the number was approximately 430. Historically, January and February represent the lowest revenue numbers of the calendar year as insurance deductibles reset. This seasonality was no exception this year, but we still achieved $31 million in revenue and $3.1 million in adjusted EBITDA. Additionally, cash collections remain strong evidence that we have not seen a dip in numbers based on in or out of network coverage with various insurance providers. Our newest product portfolio offering, the OA Knee Brace, has received significant market interest and has already contributed to revenue growth since its release in January. The next wave, our electrotherapy device prescribed for pain management and rehabilitation continues to be our top revenue generator and number one prescribed product. Its prescription-strength technology has no side effects and is an important first sign of defense for doctors in the midst of the opioid epidemic. We've maintained effective inventory management throughout the global supply chain challenges and have sufficient inventory to accommodate our order growth in the coming months. We've seen longer lead times from our manufacturers, but for the most part have been shielded from the macroeconomic complications facing our business – facing other businesses on the supply side. I'll now ask Don Gregg, Vice President of Zynex Monitoring Solutions, to speak to the business updates related to that division.
Don Gregg: Thank you, Anna. The Zynex patient monitoring division includes a product portfolio and pipeline to address hemodynamic monitoring, laser-based pulse oximetry and sepsis monitoring. These represent a market of over $3.7 billion annually, and we are looking forward to bringing to market a variety of new products and tools to achieve improved patient care. As you may recall, Zynex acquired Kestrel Labs in late 2021 and Zynex Monitoring Solutions has officially completed the integration of this acquisition in the first quarter as planned. We are adding key personnel to build out these laser-based products to include the NiCO CO-Oximeter, a multi parameter device and HemeOx, a total hemoglobin oximeter that enables continuous arterial blood monitoring. We plan to submit the NiCO oximeter to the FDA for clearance in the next 12 to 18 months. Additionally, the non-invasive CM1600 wireless blood and fluid monitor, which was submitted to the FDA in December of 2021 is progressing as planned. As Thomas mentioned, we are awaiting clearance and the correspondence with the FDA has been positive to date. ZMS is also prioritizing data collection with multiple ongoing studies and clinical trials. We've completed clinical validation trials for the hemodynamic monitor at Yale Medicine and DaVita Kidney Care, both yielding positive results. The Yale study tracks reductions in blood volume and recovery, as well as the vasoconstriction and vasodilation of the Relative Index. The DaVita study characterizes changes the Relative Index during a dialysis procedure and Wake Forest study was completed this quarter in order to detect postoperative patient fluid status in the PACU and a peer-reviewed publication is expected to be published in the next few months. We have several additional controlled studies starting in Q2 and Q3 to focus specifically on other complex clinical scenarios to bolster future market adoption of these novel products. With that, I will now turn the call over to Dan Moorhead, Chief Financial Officer to discuss our operating results.
Dan Moorhead: Thanks, Don. Please refer to our press release issue earlier today for a summary of our financial results for the first quarter. Orders grew 3% year-over-year and net revenue grew 29% to $31.1 million from $24.1 million in 2021. Q1 revenue decreased sequentially compared to Q4, but this is expected as deductibles reset at the beginning of each calendar year.  Device revenue increased 6% to $6.7 million compared to $6.4 million in Q1 last year. Supplies revenue increased 37% year-over-year to $24.4 million from $17.8 million. Gross margins were 78% for the first quarter compared to 76% a year ago. Sales and marketing expenses were $14.4 million in the first quarter of 2022, compared to $13.8 million in the same period in 2021. G&A expense was $7.8 million in the first quarter of 2022, which was flat compared to Q4 and up compared to $5.5 million in the same period in 2021. The increase year-over-year was primarily due to our growth in Zynex Monitoring and our new headquarters facility. And finally, net income grew 296% year-over-year to $1.4 million and produced $0.03 per diluted share in the first quarter of 2022 and adjusted EBIDA grew 897% to $3.1 million. Tax expense as a percentage was high than normal as new regulations were passed related to R&D activities and caused the effective rate to grow to 30% from our prior average of 24% to 25%. We ended the quarter with $39.2 million in cash down $3.4 million from Q4 due to making the dividend payments of $3.6 million and debt service payments of $1.4 million, including interest. Cash flows from operation in the quarter increased 133% or $7.1 million to a positive $1.8 million compared to cash used in operating activities of $5.3 million last year. With that I'll turn the call back over to Thomas.
Thomas Sandgaard: Yes, thank you, Dan. Now turning to the outlook for 2022, our total revenue estimate remains in the range of $152 million to $170 million, representing growth of 15% to 30% over the previous year. Adjusted EBITDA for 2022 is estimated to come between $25 million and $35 million. For the second quarter of 2022, we estimate revenue to come in between $35 million and $38 million with adjusted EBITDA between $4 million and $6 million. This really reflects our most recent assessment of the current labor environment that puts some restrictions on the pace as to which we can hire additional sales reps and additional employees for the corporate headquarters and continuing uncertainty related to the evolving impact of the COVID-19 pandemic. We look forward to maintaining our financial health as a key differentiator among our microcap peers, and we still anticipate high growth and profitability in the upcoming quarters. With that operator, please open the call up for questions.
Operator: We will now begin the question-and-answer session. [Operator Instructions] The first question comes from Matt OBrien with Piper Sandler, please go ahead.
Unidentified Analyst: Good afternoon, everyone. It's Adam from Matt and thanks for taking the questions here. Maybe just wanted to start with just a little bit more detail on the procedure environment and recovery that you saw over the course of Q1. It sounds like you had record order of volumes in March. I mean, is that organic in your mind or do you think there was some catch there from the prior months that were impacted by Omicron? Maybe just talk about any impact to volumes from knee braces? And then would be curious if you could just talk a little bit about how things have trended thus far through April? And then I had a couple follow-ups. Thanks.
Thomas Sandgaard : Yes, I'll take this one. This is this is Thomas. So to your question about the order growth we don't really see there was any pent up demand from previous quarters. This is more what we consider organic growth and organic increased productivity by our sales force. To your question about April, the order growth continues and is at least as good if not slightly better than what we saw all in the in the first quarter.
Unidentified Analyst: Okay. Thanks, Thomas. And I gave you a multipart question, so just maybe trying to pick the last box there. Impact on knee braces – impact from the knee brace…
Thomas Sandgaard : Yes that's right. Yes.
Unidentified Analyst: And, and anything on in terms of like revenue contribution from knee braces, and then I had a couple more follow-ups for you. Thanks.
Thomas Sandgaard: Yes, it's slowly beginning to kick in. We've had now about three months of after we have initially introduced it to our salesforce, especially the OA osteoarthritis knee prices have taken off very well with our sales reps. And probably after the next wave closely followed by, I think, cervical traction, our second or third best selling product already. So, it's nice to see a little bit of diversification in our product revenue. And we are seeing the same reimbursement from insurance companies that we expected to see when we – before we introduced this product, which was part of our planning and decision to go into this product area. So, that's very healthy as well.
Unidentified Analyst: Okay. Thanks for the color there. And then maybe just the next one is on device sales. It looks like there was a pretty healthy, sequential decline. So just anything to note or call out on the device business in Q1?
Thomas Sandgaard: There is, and it's really [indiscernible].
Don Gregg: Sorry, Thomas. Yes. No, it's really just part of the normal seasonality of the business. And if you looked at prior years, you would kind of see the same thing as a percentage. So, it's pretty normal.
Unidentified Analyst: Okay. Understood. And then maybe I'll just ask one more on the full year guidance. So the guidance range, to $150 million to $170 million implies a nice ramp in the back half. Maybe just talk about what's contemplated at the low and the high end of the range. Do you think you need to deliver against that 500 sales force headcount number to kind of hit the top end of the range? Or are there other levers that you can pull? And is there anything contemplated in the guidance from the monitoring business? Thanks so much for taking the call.
Thomas Sandgaard: At this point we have not added anything from the monitoring business into our guidance. And obviously the revenue number is more derived from an estimate of – we expect to come in around $160 million and the tolerance of plus minus $10 million on that reflects that. So there's really nothing to interpret in. And what would the lower number mean and what would the higher number mean? It would basically be a result of the sales productivity here in the first, second and to some degree third quarter of the year as those orders eventually turn into gross billings, to insurance companies and we start seeing some cash. So the revenue for this year is pretty much set as we get well into the third quarter of the, because any new reps that get at it as you said, we are trending towards, towards the end of the year be at least close to 500 sales reps. And what new reps in the fourth quarter for instance might contribute with is certainly not going to add to the revenue this year, that'll be revenue next year. So a lot of it is really based on how orders are coming in right now.
Unidentified Analyst: Okay. Thanks again for taking the questions.
Thomas Sandgaard: Thank you.
Operator: Our next question comes from Marc Wiesenberger with BRiley. Please go ahead.
Marc Wiesenberger: Yes. Thanks, good afternoon. Appreciate you taking the questions. Just following up on some of the earlier questions, with regards to the device revenue what percentage was that actually NexWave?
Thomas Sandgaard: Total device, I don't think we report it, but I think it's north – it's probably, it's high-80s or low-90s as a percentage of the total, so, but that's not something we put out, but that's just off the top of my head. I'm, that's pretty close I think.
Marc Wiesenberger: Got it. Okay. And can you remind us kind of what percentage of NexWave prescriptions are tied to surgical procedures versus kind of more chronic pain management? And I guess that kind of goes to – we've heard a lot about elective procedures picking back up, so I'm wondering if kind of that record March might have seen some impact from that?
Thomas Sandgaard: Yes. We normally don't at least talk about it, but we don't really record the data that way, because when we receive a prescription, we get a number of diagnosis codes from the clinic. It could be an anywhere between one or two diagnosis codes sometimes there is more than 10 diagnosis codes and they all get entered in our system. Some of those may not actually be relevant for exactly what the device is used for, others are. So it's hard to get a clear picture. We can see what type of physicians that are prescribing, and we know a little over 20% of our prescribers are orthopedic surgeons. And then there's a number of many other specialties that that prescribe it. So that that still tells you that this is being used a lot post-op surgery and primarily used to speed up the healing and get people back for instance back to work or getting fully recovered much faster than if they were not using the NexWave. In many cases our cold therapy device that we distribute is also added to it, and that even further speeds up the healing.
Marc Wiesenberger: Understood. And to that kind of point, have you seen any change in the duration of treatment for patients? And then what has your interactions with been – what have your interactions been with United Health and how has that changed really at all or no real impact on the business?
Thomas Sandgaard: We haven't seen any change in terms of how products are prescribed or being used, and maybe Anna, you can – you can speak to how we still collect pretty well, if not better from United Healthcare after we are not network anymore.
Anna Lucsok: Right. Yes. We have seen a positive change after becoming out of network with United. We see much faster payments from them and more consistent?
Marc Wiesenberger: Got it. Helpful. It looks like you are in terms of your open positions, it looks like you may be prioritizing some new geographies relative to the past. So wondering if there's any specific factors impacting that or how your strategy on sales rep expansion might have evolved?
Thomas Sandgaard: No, we still have 800 territories mapped out as we've had for several years now, and we have 430 of those populated right now, hopefully about 500 by the end of the year. And it really sometimes our focus on what territories we are advertising for and therefore interviewing and hiring for depends a little bit I for instance we had parted ways with a regional sales manager. And if there's either a vacant region, we have 15 regional sales managers, and if there's a vacancy there or someone that has just been hired and it's getting up to speed we typically go slow in terms of hiring for that region. But other than that, we are literally hiring all lower the country and obviously pruning our sales force to make sure it's only the – that the productive sales reps that stays on both long-term, that's pretty much equal throughout the country. And I expect we we'll continue to treat pretty much all territories the same way until we get up to 800 sales reps.
Marc Wiesenberger: Got it. And then just the last one from me, I wonder if you could talk about any digital initiative you're working on to increase the efficiency and the reach of physicians and prescribers. There's been a rise of these kind of digital point of care solutions that companies are leveraging either to reduce the sales force or at least increase efficiency. So wondering what if at all you guys are doing on that front? Thank you.
Thomas Sandgaard: No, none of that. I believe we are growing fast enough and our focus is hiring very high quality sales reps rather than activities that potentially could be distracting for the way things are developing right now.
Marc Wiesenberger: Okay. Thank you very much.
Operator: Our next question comes from Jeffrey Cohen with Ladenburg Thalmann. Please go ahead.
Jeffrey Cohen: Hi, Thomas, Dan, Anna and Donald, how are you?
Thomas Sandgaard: Good. How are you?
Dan Moorhead: I'm good.
Jeffrey Cohen: Dan, I guess I'll start with you on, could you give us a guesstimate on current share account either or basic or diluted?
Dan Moorhead: See we're running it's about $41 million is diluted.
Jeffrey Cohen: Got it. Okay. That's helpful. And Anna, can you talk about the, I know you briefly talked about the two Knee Braces, the [indiscernible] any commentary specific to the Aspen Horizon?
Anna Lucsok: I'm not sure I understand the question. So the Aspen Horizon is the back brace that we distribute.
Jeffrey Cohen: Yes. Were there revenues from this prior quarter from Q1?
Dan Moorhead: For sure. Yes. No, it's a big piece of the business as well. So it's the – of all the products we distribute as Thomas mentioned, I think Cervical Traction is the highest LSOs or back braces are kind of second, and then as we mentioned the knee braces are gaining fast, so they're...
Anna Lucsok: There is OA knee brace. Yes. So I would say the OA knee brace and the back brace are probably at the same percentage at this point. And then post-op we rolled it out a little bit later, so it's not picking up as fast but we're also seeing traction with that as well.
Jeffrey Cohen: Okay. Got it. And I may have missed some of the commentary on the CM-1600. Did you talk about, I think I heard a submittal in the coming 16 months?
Thomas Sandgaard: Let me clarify two things on that. So we submitted the CM-1600 to the FDA in December. We received a response and we're replying back to them. Communications have been good. The NiCO product, which is the non-invasive CO-Oximeter, we are submitting in the next 12 to 18 months to the FDA.
Jeffrey Cohen: That's it. Okay. So that was my question. And any commentary particular to call on margins from this quarter going forward. You still kind of have a strong feeling of high-70s for the balance of this year?
Dan Moorhead: Yes. We generally Q1 is the worst quarter of the year, so yes, 75 to 80 is still a good range and we expect to be in the higher-70s like you said.
Jeffrey Cohen: Got it. And then lastly for us, as far as R&D expense is most of that going through the G&A line or the sales and marketing line, I'm assuming mostly G&A?
Dan Moorhead: It is G&A, yes. And there was just some new regulations that came out on the tax side that anything related to G&A you have to capitalize from a tax perspective and amortize over, I think its five years and so. We're working on the back end on an R&D credit study. It's just take us a quarter or two to get that in place so that we can offset some of that increase.
Jeffrey Cohen: Okay. Got it. And then last to keep beating on the size of the commercial force, but it's sounding like somewhat linear we should anticipate for lack of any, more detail through the balance of this year as far as an increase?
Dan Moorhead: Yes. I think we kind of look at it on a linear basis kind of evenly spread across the year. I would agree.
Jeffrey Cohen: Okay. Got it. And it didn't look like the both the full year was unchanged on the adjusted EBIDA ranch as well prior to $25 million and $35 million?
Dan Moorhead: Correct? Yes. All the annual guidance remained the same.
Jeffrey Cohen: Okay. Perfect. That doesn't for us. Thanks for the questions.
Dan Moorhead: Thank you.
Operator: Our next question comes from Yi Chen with H.C. Wainwright. Please go ahead.
Yi Chen: Thank you for taking my questions. Previously you mentioned that it is hire – it is hard to hire additional sales reps under the current market conditions as these conditions improved recently?
Thomas Sandgaard: Yes, they have improved slightly compared to January till and up until now, it's very marginal. So we do see more applicants and among those obviously there's, so we do see a few more that that have the quality that we end up deciding to hire. It's certainly not back to where it was before COVID and hopefully the trend continues, but it's only slowly we see an improvement.
Yi Chen: And your target is 500 reps by the end of 2022?
Thomas Sandgaard: By the end of the year, yes. So 70 more over the next, that'll be seven, eight months. So a net addition of 10 should be possible for us.
Yi Chen: Okay. With respect to CM-1600 or CM-1500, are there going to be any data published during the remainder of this year? And also regarding the FDA response, is there any possibilities you anticipate to conduct any additional clinical trials?
Thomas Sandgaard: Yes. Let me take the first question. So we finished the Wake Forest trial and we presented a poster at the IARS Conference. We are working on a peer reviewed publication. It's in draft right now but we're working on with Dr. Khanna and that should be publishing, we're targeting a clinical journal and that should be publishing within a few months. Given that it's peer reviewed, it takes a bit of time to get that out into the public. The last question about the – I think your question was about the FDA, is that correct?
Yi Chen: Yes. FDA response and any possibility to conduct additional trials.
Thomas Sandgaard: So we have several trials planned. These are controlled trials. The targets with these trials are in various areas around cardiac and non-cardiac surgery and specific others for what we call our whole blood study and a few others around certain shock assessments and things like that, specifically with the 1600. The reason what we've done with much of the trials to date is to validate the relative index and to work through simulations of that around the specific areas to be ready to go into those more difficult surgical procedures and expand that.
Yi Chen: Do you need to complete those trials before securing clearance from FDA?
Thomas Sandgaard: We do not need to complete those trials prior to clearance. We – our claims is part of this are back to the 1500 this is a wireless version of that that is got an improved efficacy and so forth on the relative index and specific proceed. So we are adding some claims to it that the trial data that we've already completed supports.
Yi Chen: Got it. Thank you.
Thomas Sandgaard: You're welcome.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to the Founder, Chairman and CEO, Thomas Sandgaard for any closure remarks.
Thomas Sandgaard: Yes. Thank you. Thank you for joining us today. We are excited by the momentum that Zynex's experiencing and look forward to providing meaningful updates on our progress in both divisions in the coming quarter. Enjoy your evening. Thank you. 
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.